Operator: Good day and welcome to the Suncor Energy First Quarter 2023 Results Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Troy Little, Vice President of Investor Relations. Please go ahead.
Troy Little: Thank you, operator and good morning. Welcome to Suncor Energy’s first quarter earnings call. Please note that today’s comments contain forward-looking information. Actual results may differ materially from the expected results, because of various risk factors and assumptions that are described in our first quarter earnings release, as well as in our current annual information form, both of which are available on SEDAR, EDGAR and our website, suncor.com. Certain financial measures referred to in these comments are not prescribed by Canadian Generally Accepted Accounting Principles. For a description of these financial measures, please see our first quarter earnings release. We will start with comments from Rich Kruger, Interim President and Chief Executive Officer, followed by Kris Smith, Suncor’s Incoming Chief Financial Officer and Alister Cowan, Suncor’s current Chief Financial Officer. Also on the call are three of our senior operating leaders; Peter Zebedee, Executive Vice President, Mining and Upgrading; Shelley Powell, Senior Vice President, In Situ and E&P; and Arnel Santos, Senior Vice President, Refining and Logistics. Following the formal remarks, we will open the call to questions. Now, I will hand it over to Rich to share his comments.
Kris Smith: Thanks, Troy. Good morning. Thanks for joining us. I know many of you on the line and I look forward to reconnecting those of you that I don’t know maybe a very brief background. I have – I come to Suncor with nearly 40 years in energy. 31 of those were with ExxonMobil around the world. And then the last 7 of those nearly 40 were with Imperial Oil here in Canada as their Chairman and CEO. Background includes everything from operations, capital projects, commercial corporate strategy, etcetera, upstream, downstream, oil gas, onshore offshore, conventional, LNG oil sands, and the geography started out in North America, Southeast Asia, Middle East West Africa, former Soviet Union and now back to right where I am supposed to be North America and Canada. So I would never say that I have seen and done it all. But I think it’s pretty fair to say, I have seen and done a lot. Personality, what can you expect from me? I strive to be quite clear. I hope you will find me candid, transparent. I live in a fact-based world and I tend to be quite focused. Last but not least, I consider myself to be reasonably decisive and very competitive. I play to win. My assessment, this is week 6 on the job. It’s been quite a time. I see a very proud company here at Suncor, excellent people, quality assets, some very unique competitive advantages. But I also see a company with untapped potential. I see a gap between our current performance and what I would consider best in class in many, many areas. So what is my objective? It’s really quite simple, lead the company to be the best of the best, the undisputed industry leader, number one. I think in our business that there is four kind of foundations or pillars that are key to that: safety, operational integrity, reliability and profitability. If you read the press release this morning, you probably noticed I said that three, two, if not three times. That’s because I believe in it. And that’s what I’ve learned over the course of my career. I strive for us to be a company that delivers on its commitments and delivers long-term – our superior long-term shareholder value. I never forget the shareholder. I can promise you that. Will this be easy? No. But quite frankly, I wouldn’t have come out of retirement to be here additive. And I had many easy. So what can you expect from Suncor going forward? This focus on the fundamentals starting with safety, operational integrity, you can expect an intense focus on costs, organizational efficiency and then operational support from our center. We will become a simpler and more focused organization. And I think it’s important to note that we have basically produced a series of commodities, commodities subject to price cycles. And those who have the lowest cost structure has the greatest resiliency to compete in whatever business cycle we happen to be in. We will look hard at reducing spending where value isn’t added whether that’s operating costs, OpEx or CapEx. In terms of capital allocation philosophy for those of you that know me, you’ve heard this before, even a strong balance sheet, very much believed in a reliable and growing dividend, selective high quality, well timed investments, and returning surplus cash to shareholders. I believe in rewarding our shareholders for their faith and ongoing commitment to the company. So succinctly, you can expect a lot of words around clarifying, simplifying and focusing what we do, why we do it and how we do it. And I would end with last but not least, you can expect a sense of urgency, an urgency to improve, strengthen our competitiveness, produce results. My first 5 weeks in the job have been quite busy. I visited about 50% of our major facilities I met with men and women who wear hard hats and boots for AL living, our workplace leaders, I have observed, I have listened, learned, have started coaching. My general sense is this organization is ready, it is ready to respond. It is ready to step up and perform. I am quite honored and excited to lead it. And I can assure you we won’t leave anything on the table. So with that, I will turn it over to Kris.
Kris Smith: Alright. Thanks, Rich and good morning, everyone. Well, first of all, I’d like to acknowledge all the achievements that our company and employees have made over the last 9 months. As I’ve handed the reins over to Rich as our permanent CEO, we took decisive action to address our safety performance and drive increased focus on operational excellence. We refocused our portfolio through the sale of our renewable power and international E&P assets in Norway and the UK. And meanwhile, we acquired an additional stake in Fort Hills at an attractive price and recently announced our transaction with Total Energies to acquire its Canadian upstream assets, including at stake in Fort Hills. We also presented a Fort Hills mine improvement plan in November that enables us to improve long-term asset performance and drive down unit costs and we continue to work across our entire portfolio to drive improved performance. Now we have more work to do, but I am confident that we will build on that momentum under Rich’s leadership and deliver strong performance and results for our shareholders. I am very excited about what the future holds for Suncor and I look forward to working with all of you in my new role as CFO following our AGM. Now before handing it over to Alister, I would like to update you on three transactions we recently announced as well as provide a brief operational update. As mentioned, 2 weeks ago, we announced the acquisition of Total Energies Canada for $5.5 billion Canadian. The transaction which remained subject to the exercise of a right of first refusal includes a 50% non-operated working interest in Surmont and a 31.23% working interest in Fort Hills. This transaction adds 135,000 barrels per day of high-quality bitumen production capacity to our portfolio and strengthens our long-term free cash flow potential. The transaction is accretive to adjusted funds from operations per share and delivers attractive returns at mid-cycle pricing. As for Surmont, it is a high quality in situ asset with top quartile steam oil ratios, a 50-year reserve life and low cash operating cost per barrel, which will improve Suncor’s cash margins and provide a reliable source of funds through the commodity cycle. With the two recent acquisitions of additional Fort Hills interest between the Teck and Total transactions totaling 46% as well as bitumen production at our Firebag and MacKay River operations, Suncor will have sufficient owned bitumen volume with an oil sands reserve life of 29 years to keep the base mine upgraders’ full post the projected end of base mine life in the mid 2030s. In addition, Suncor has now eliminated the need to replace the base mine’s production with new developments, which also provide optionality for future growth if that is in the best use of is the best use of investors capital. The transaction will be fully funded via debt and is expected to close sometime in Q3. With a more resilient pro forma business supported by incremental production and cash flow potential, Suncor’s Board of Directors intends to approve an increase in the quarterly dividend of approximately 10% after the close of the transaction as contemplated. Also consistent with Suncor’s strategy of refocusing on our core business, we announced the sale of our UK E&P assets at CAD1.2 billion, including $338 million in contingent payments and excluding working capital adjustments. The transaction is expected to close soon and we look forward to it. And lastly, we announced last week that Suncor will become the primary long-term fuel supplier for Canadian Tires’ retail fuel size. Consistent with the retail optimization plan presented in November by bringing two iconic Canadian brands and loyalty programs together in Petro-Canada and Canadian Tire, this strategic partnership provides long-term value to Suncor by expanding our non-controlled retail fuel network and securing long-term supply to protect refinery utilization and maximize sales volumes. Now switching to current operations, we are pleased to report that our Commerce City Refinery returned to service as scheduled at the end of Q1 after a progressive restart that commenced in February. For Terra Nova, the FPSO is undergoing additional work inside in Newfoundland to ensure that it is ready for safe and reliable operation in the field. Based on this and looking forward to the remainder of the year, we are removing any expected production from Terra Nova from our 2023 E&P production guidance. An updated plan for reaching first oil will be available after midyear once we are further through the additional work. With the removal of production volumes from Terra Nova as well as the impact of acquiring a lower than expected state in Fort Hills with respect to the acquisition from Teck and the potential of early closing of the sale of our UK North Sea assets as expected. We expect to be near the bottom of our 2023 upstream production guidance range. Once we have further progressed to the acquisition of Total’s Canadian upstream assets, we will update shareholders further on production guidance for the year. Now, just before I close, I would like to thank Alister for his tremendous leadership as Suncor’s CFO over these last 9 years and in particular, to thank him for his support of me over these last 9 months. Congratulations, Alistair. I hope you enjoy a well deserved retirement, but you still have a little bit more to do. So back over to you.
Alister Cowan: Thanks for the kind words, Kris, a little bit more to do. I have certainly appreciated all of the relationships I formed with members of the investment community over these last 9 years, while I have been at Suncor as well as before that time. And I am very thankful for the support of my colleagues and the finance team during my time here. Now enough of that and let’s get on to the quarter highlights. Overall, we generated $3 billion of adjusted funds from operations. The oil sands segment delivered $2.6 billion of adjusted funds from operations, with production of 675,000 barrels per day. This performance reflects the new quarterly in situ production record of 261,000 barrels per day and average base plant and sink operator utilization of 23%. At Fort Hills, we completed the acquisition of the additional working interest from Teck Resources and [indiscernible] and production remains on track to ramp up in Q2 prior to starting a 5-year turnaround in July consistent with the restart plan. Oil sands realizations averaged $91 per barrel or 89% of WTI. This reflects the $7 per barrel decrease in the benchmark WTI. I will say it by small U.S. dollar, $1 dollar per barrel, not only in the WCS heavy differentials versus Q4 of last year. Our E&P segment generated adjusted funds from operations of $500 million, with production of 67,000 barrels per day and an average price realization of $108 per barrel or 98% of Brent, downstream generated adjusted funds from operations of $1.2 billion on a FIFO basis. Excluding the $130 million of FIFO loss, this would be about $1.3 billion on a LIFO basis. Refinery utilization now reached 79% and margin capture was strong at 102%. Overall segment performance was in line with our expectations and it obviously impacted by the downtime of the Commerce City Refinery that started at the end of Q4. But utilization at our Canadian refineries was a solid 94% during the quarter. During the quarter, we returned $1.6 billion to shareholders, including $700 million in dividends and $900 million to share buybacks. Suncor’s net debt position as of quarter end was $15.7 billion, which primarily reflects working capital use of $2 billion and the earlier than expected closing of the acquisition of the stake in Fort Hills from Teck, which all-in including leases was $1 billion. Our final 2022 cash top-up payment was $500 million as we paid the majority of our cash taxes of $4.2 billion during 2022. And as Chris mentioned, we expect to receive the $1.2 billion of gross proceeds from the sale of the UK E&P in the near-term. As stated previously with the acquisition of Total’s Canadian upstream assets, you are now expecting to remain at a 50:50 capital allocation between share buybacks and debt reduction until we returned to $12 billion of net debt, at which point, we will switch to 75:25 allocation. And with that, thank you all. And I’ll turn you back to Rich.
Rich Kruger: Before we get your questions, I’d like to commend Chris for his leadership over the last 9 months of the focus he has brought to this business, particularly safety. I’ve seen that in each of my site visits. And also, I can assure you, Chris and I are going to work very well together. We have been engaged since before I showed up 4 weeks before that and I think we are going to make a very strong team. And lastly, thank Alister for his dedication and leadership for nearly a year. As is said, he will be missed, but not forgotten. I look forward to working with each of you and the investment community at large. And with that, I will turn it back to Troy to kick off our question period.
Troy Little: Thank you, Rich. I will turn the call back to the operator to take some questions.
Operator: Thank you. [Operator Instructions] And our first question will come from the line of Greg Pardy with RBC Capital Markets. Your line is open.
Greg Pardy: Yes. Thanks very much. Good morning, everybody and thanks for the rundown and indeed all the very best to you, Alister, Rich and welcome. You can’t imagine how happy I am to have you back in the chair. So, a couple of quick ones. So Rich, particularly as you have looked at the business, I am wondering if there are areas upstream or downstream where you see low hanging fruit from an operating performance perspective. So either higher throughputs or lower operating costs? And if so, what those might be and how long do you think some of that might be to achieve better performance?
Rich Kruger: Greg, I missed you too. So it’s good to be back. Thank you. You know I do – I have seen opportunities across the organization. And I think let me start on the downstream a little bit. We – there is a baseball analogy that I want to share quick is the downstream here to here and in Canada has been very, very well. I am a baseball fan. And somebody told me it’s we weren’t – we didn’t hit a triple, we were born on third base. We have a lot of structural advantages right now. But what is important, are we operating to the best of our ability. And I think as I look at the downstream, I see reliability is still an opportunity. I think our cost structure, turnaround performance, turnarounds we spend a lot of money and the course the time offline. So I think there – it’s just getting incrementally better at the fundamentals, the basics, in the upstream. I mean, the mining, mining is tough business we know that. We have got aging mines. We have got more challenges on haul distances and things. But I spent a lot of time with Peter, in looking at his kind of improvement plans, all the way from reducing contractors to enhance efficiency and reduce cost, improving the performance of our fleet. So, Greg in those areas, I would say it’s lots of little things. And so I don’t know if I’d maybe describe it as low hanging fruit, but I think they are very tangible in things that we have and will continue to have a very intense focus on. I hit at it in my comments just fundamentally our cost structure is looking at ensuring that all our people, everybody above the operating units are focused on what they do to support the operating units. And I think a, I think there’s some low hanging fruit there and really looking at what we do how we do it. And we’ve already well, we’re making small improvements. I’ll have more to say about that in the next couple of months ahead. But I wrapped up my comments with this sense of urgency. We need to get on with it. And I don’t see anything in my first 5, 6 weeks, that will prevent us from bringing about material improvement, from inside, focusing on those things that we control.
Greg Pardy: Okay, understood. The second quick one, well, maybe it’s not a quick one, the pace which you run the baseline is coming up a lot. And there is a fairly defined view would seem out there, that it’s really all about managing ARO, that you’re going to have to slow down the mine to manage ARL. How are you guys kind of thinking about that decision? Like, how should we think about how fast that baseline is going to run over the next few years?
Rich Kruger: Well, I’m going to turn it over to Peter here in a second to, may give you a little bit more specific on it. But I think if you look at Kris, describe the recent deal, we’ve done looking at longer-term bitumen supply is the most valuable barrel through an upgrade is the incremental barrel, the last barrel, it’s much like a refinery is so ensuring that we utilize those facilities to the fullest. And then it becomes what’s the most economic way to do that. And whether it’s continuing to mine and extend the life of the base mine, whether it’s bringing a bitumen supply from outside the lease. And I would say those are all kind of works in progress. But it’s all about value. It’s all about determining what is the most valuable barrel to fill up those upgraders with but Peter if you – if maybe if you want to add a further color to my comments?
Peter Zebedee: Yes. So maybe a little bit more information, I think in the short-term, and I mean, between now and 2026 and ‘27, the rate of mine – base mine will continue as is and so will be running to maximize volumes out of the base mine. This is a tailings driven facility. And so until we’re able to open up our tailings plan, and we look to secure an additional piece of variability around potential for water management and recycle, we don’t have a lot of ability in the short-term to throttle the rate of mining. Post that in our long-term plans, we are looking to see what the rate of mining and that’ll maximize the value coming from the asset taking into consideration the ore body operating costs, etcetera.
Greg Pardy: Terrific. Thanks. Thanks to both.
Rich Kruger: Thanks, Greg.
Operator: [Operator Instructions] And that will come from the line of Dennis Fong was CIBC. Your line is open.
Dennis Fong: Thank you. Good morning, everyone and again, congratulations to Kris and Rich on your new roles as well as Alister for a well-deserved retirement. The first question I have is during the quarter, it looks like you had about 5,500 barrels a day of Fort Hills production that was processed at the base plant upgraders. And about 1,800 barrels a day of oil sands off the volumes that were processed, it seemed improved. Can you talk towards – I guess some of the impacts of feeding those barrels through the various upgraders and processing facilities? And maybe what some of the considerations may be in the future for shifting the destination of barrels across your portfolio?
Rich Kruger: Good. Dennis, this is Rich, I’ll maybe start out with that again, then I’ll probably turn it to Peter for more specifics. But it’s all about value. And I think one of the things I said in my opening comments is that I really look forward to working with here is the unique competitive advantages that we have to the physical integration of our Upstream through our upgrading and actually quite frankly, all the way through refining and logistics. We’ve got an asset base that is quite hard it well, it’s unparalleled. It’s hard to replicate. And so those kinds of decisions are about incremental what a bitumen prices in the market. What’s the Syncrude, what’s a synthetic price? And how can we move molecules around to maximize the value of each and every barrel? Maybe I will turn it to Peter though to kind of get into like how do we really – how do we do it and how real time are those decisions to make the most money?
Peter Zebedee: Thanks, Rich. And thanks, Dennis. And it’s an it is indeed a really dynamic process. And frankly, it is all about margin optimization and generating maximum value for those molecules. Dennis, we really look at it, I would say on 3x horizons, starting from the long range, kind of the business planning process and the budgeting process that really optimizes extraction at all of the bitumen production facilities, the utilities and takes into consideration major maintenance outages for the year. So it’s that kind of macro level planning. And then zooming in on much more of a short-term planning process where we look at production planning and consideration of all the risks, we have in our facilities on kind of a 1 to 12-week time horizon. And that really allows us to optimize on market base conditions through differentials, logistics, downstream demand, etcetera. And then finally, it’s really in the here and now it is that shift by shift optimization that’s done by our production planning team. And we have an integrated production planning team across the upstream assets in the region and extending down into the downstream into the refining, and production coordinators on a tape for hour shift by shift basis. So this is very dynamic, very real time. And it’s all about making the most of the molecules that you produce.
Dennis Fong: Great, great, appreciate that color. Maybe shifting focus towards the downstream side, and maybe a little bit more specifically Commerce City. I know the facility itself was impacted by we will call it a very unique circumstance with respect to winter conditions in the region, I was just curious as to whether or not there were any learnings from the events that occurred there. And if there were any changes to operations, or operating procedures that were being implemented to maybe limit the risk of future kind of downtime, as well as anything else across the platform to date?
Rich Kruger: Dennis, Rich, here again, there have been a lot of learnings. And I think, the best organizations, whenever you have things like this happened, that’s how you get better is through the learning process. In fact, I’ll say, just literally real time, we went through a pretty comprehensive discussion with our, the Suncor Board of Directors yesterday on the learnings on it, in the learning they fall into a variety of buckets, but they the competency of individual operators that we had sufficient training in the uniqueness of what happened, the temperature drop over the very, very short period was an extreme, if you look at the temperature range itself, and the low ends of it, that’s not necessarily, out of the realm of history, but it’s how fast the temperature changed. And then what that impacted on control systems, steam generation, and our ability to keep things hot, keep things warm with that. And so as we lost steam capability, there was a little bit of a cascading effect. And the judgment was made it was before I was here, but I look at it, I think it’s exactly the right judgment, to take that entire facility down. And that was made out of concern, out of safety and operational integrity. And that, to me, was the right decision. But now you’ve got a facility and extremely cold weather, that you’re not able to be keeping warm anymore. And so it’s kind of a damned if you do, damned if you don’t, if you continue to operate, you’d run risk, that in those extreme conditions, you could have some type of loss of primary containment, and further escalating event, but also you knew when shutting it down, now you’ve taken things to ambient temperature. So I would say there has been a lot of learnings. And what we’re trying to do right now is take those learnings and incorporate it into the facility, whether its operator capability and training, whether it’s heat tracing, some things that we would do in preparation for the – apparently every year there’s winter in Denver, and before the next season, so that if we were to experience something as unique as this, we would be far better equipped to handle it. So yes, lots of learnings and we’re plowing it right back into actions to ensure that something of this consequence doesn’t happen again.
Dennis Fong: Great. Appreciate the incremental color you provided their Rich. I will turn it back. Thanks.
Operator: [Operator Instructions] And that will come from the line of Neil Mehta with Goldman Sachs. Your line is open.
Neil Mehta: Hey, welcome back. Rich. We missed you, sir.
Rich Kruger: Thank you, Neil. It’s good to be back.
Neil Mehta: Alright, and congrats to everyone and Alister on your retirement. So the first question is just around the transactions both Surmont and Fort hills from Tight Oil, maybe you can dive into what attracted you to this asset, why now? Why – and dig more into the upside case associated with the deal and how you’re mitigating some of the risks associated with bitumen.
Rich Kruger: I’ll give you a little bit of color commentary. But I’m really going to turn it over to Kris, because Kris and Alister that were the ones that made this happen, I was brought into this thing, literally within an hour of my announcement on February 21, and by then, things have been – it’s been things have moved along, as you know, we look at it, it’s we’ve talked about the long-term bitumen supply, the value in keeping up the upgraders full, and the uplift you get from that. Now, we have other internal alternatives. The we look at, we looked at those alternatives, whether they’re developing, incremental mining capacity, or In Situ, but we looked at this, and we saw that, significant value in it, we saw a material a dimension of risk management in it of in terms of not having to plan and execute large scale capital projects, the timing of it, it brings barrels, immediately, and it’s a accretive. So to me, it looked at it, and it was pretty clear that this is a win-win. I what to asked Kris to comment any further on it?
Kris Smith: Thanks, Rich, I actually don’t have too much more to add, because I think you’ve covered the major points, Neil, when we looked at the opportunities transaction, I mean, it was checking a lot of boxes for us. And first of all, obviously, we know the Fort Hills asset really well, we have a lot of confidence in the long-term value of that asset. And the plan we have for it. Surmont is a high-quality bitumen asset. As I mentioned in my remarks, were also well – we’re a very good operator In Situ ourselves, we see a real opportunity to actually work with the operator and bring both of our advantages to that asset. And then as Rich mentioned from a strategic, there’s just a great strategic fit. There’s a lot of industrial logic related to this transaction, and long-term bitumen supply into the region. So we saw it as a really nice fit for our portfolio is, as Rich mentioned, accretive to shareholders, we see very good return long-term returns from this investment at the price we paid. So we just thought attractive on all sorts of dimensions, when we entered into the deal.
Rich Kruger: I’ll make one other comment on it. We’re all aware that ConocoPhillips has a row for on Surmont. We reached out the morning of the announcement, and one of the overriding messages is we would be a partner, a very willing partner that would look to invest and grow value in this asset, we have tremendous respect for ConocoPhillips as an operator, and we think there would be synergies that we could bring, that would add value to both the Surmont operation as well as our Firebag back and forth, at together, we could make this more valuable than either of us individually. So we will see what goes on in that, but we would very much look forward to being in that partnership.
Neil Mehta: Yes, that makes sense. So that’s the follow-up is that as you highlighted in the presentation, there are significant tax pools that are associated with this to the extent that Conoco does execute a right of first refusal on Surmont only detached pools existent at the asset level or they consolidate level does that make sense?
Rich Kruger: I do one comment and then I’ll ask Alister if he wants to supplement a little bit. But with the ROFR still out there kind of anything that might happen in the future is kind of speculative, if this than that and I would say, all those remain to be seen. We just – it kind of depends on what happens but if Alister would you have anything you want to add there or…
Alister Cowan: No, you got it right. I mean, it depends on how it gets executed with them, so the tax policies they would on the face of be lower by the demand of the ROFR but beyond that, we have seen how it was executed.
Operator: [Operator Instructions] And that will come from the line of Doug Leggate with Bank of America. Your line is open.
Doug Leggate: Good morning, everyone. I love the exotic version. But congrats to all you guys. And Alister, I’m glad we were able to get our trip squeezed in before he walked away. So thanks for your time again. Guys, I wonder if I could follow-up on Neil’s question on the ROFR. But I want to be a bit more specific about the tax benefits that you guys are acquiring. Kris, this might be for you given us it’s more of a kind of a technical accounting question, but I’m trying to understand who owns the tax losses? Is it the total entity that you’re buying the shares of or do the tax losses sit at the asset level? In other words, if ConocoPhillips did preempt the – you hold on to the majority of those tax losses? Or do they get transferred with the asset any technical explanation of how that might work would be really appreciated?
Rich Kruger:
roofer:
Doug Leggate: Okay, so we’re going to have to wait and see how it plays out. Can you – of the tax bills split proportionately to the value of the assets included in the transaction sort of two-thirds, one-third?
Rich Kruger: There at the entity level?
Doug Leggate: Okay. I got to wait and see what – how that plays out. I guess, Rich, my question for you is that, obviously, you’re inheriting a lot of legacy reliability issues? Not all of those, or rather, a large part of those one of margins are structural related to the age of the mine. So how do you anticipate causing some of those reliability gaps given the obvious, more structural – is just structural challenges of the mine life?
Rich Kruger: Well, first of all, Doug, I would say that, advanced age is no excuse for poor performance. So I’m saying that a bit tongue in cheek. I think it’s – you take the mines, yes, what you’re saying is, obviously, there’s aging equipment, I think the issues are a little bit more things like haul distances, and in ore quality in different areas, because if you look at it, I was up with Peter just couple of weeks ago, and I was I went into the maintenance base at each of the base mine and Syncrude, Fort Hills, and you talk about, how we maintain things, we basically like rebuild trucks over time. So, a truck is not old, because over a period of – a relatively short time, it’s rebuilt. And now upgraders are a different thing. But look at refineries, refineries, across around the world, have been operated, and they can operate very reliably, despite age, it comes down to maintenance, comes down to best practices, operational discipline. And so, yes, we have an aging mines instead of assets. And yes, we have increased haul distances. But I think that just means we just have to get smarter and more creative about how we manage costs, and improve reliability. So I really don’t look at that as a certainly a Peter doesn’t either I know we don’t, we don’t look at that as an excuse, or as a well a limitation on what we can achieve. I think it just means we need to get more thoughtful and more creative. And it really means executing the fundamentals extremely well, our maintenance programs, our reliability programs, looking at risk-based work selection on turnarounds is just the blocking and tackling in our business that we’ve learned for decades. Is it whether you’ve learned that in refining or whether you’ve learned in mining, but executing extremely well. And I hope and I think you’ve heard in my comments, that’s going to be our plan, looking at how we do thing, what we do, how we do them, and then ensuring that those folks that are not at the asset, that they’re providing the highest level of support, whether that’s for rotating equipment, whether that’s near-term, midterm or long-term mine planning. It’s really, it’s a focus on the basics, but just doing the basics extraordinarily well. So I know, it’s kind of a long answer to it, but I just, I really my premise is the age of our facilities, and ultimately is not going to be a material inhibitor. Peter, can…
Doug Leggate: Great perspective. Thanks and good luck. Peter, go ahead please.
Rich Kruger: Anything you’d add to that Peter? 
Peter Zebedee: Well, I would just say and especially, in the mining operations, really our approach is three-fold. Across our portfolio, we are moving 1.3 billion tons of material every single year to generate the products that we do. And so little things make a big difference. And that means squeezing the efficiency out of our own operations every shift, every single day. It means reducing our exposure to more expensive tonnages via executed by a third-party contractor. I would say the last tranche of that really is around the implementation of new mining technologies like the autonomous trucking technology we have active in our base plant today. And we will be scaling up across all of our assets in the near future.
Rich Kruger: And Doug, it’s Rich again. You got me going here. So, I got to say one more thing. I think, we haven’t talked today so much. But our focus on safety, in improving safety, safety is a huge productivity driver. When you not only do we have a moral obligation to people, and we care about people, that’s why, but it affects productivity. So, activities that Peter has going on, on safety system collision avoidance, fatigue management, we have talked about autonomous vehicles over time. All of these things not only ensure a safer workplace, but they provide a more productive workplace. And so I think those things, they – safety, operational integrity, reliability and profitability, they are all very interlinked. And so I think the other things we are working on add to that same reliability aspect, particularly in mining.
Doug Leggate: Appreciate your answers, guys. Thanks so much.
Rich Kruger: Yes. Thanks Doug.
Operator: And one moment for our next question. And that will come from the line of Menno Hulshof with TD Securities. Your line is open.
Menno Hulshof: Thanks and good morning everyone. Rich, you talked about driving clarity and simplification throughout the organization. Can you just elaborate on what is meant by that? It felt like those words were carefully selected, and what specific steps could we see over the next year or 2 years to achieve that?
Rich Kruger: You give me too much credit, Menno. I don’t know that they were carefully selected. But the what I believe is, I believe everybody in the organization needs to have a line of sight to how do they support making money. And I very much believe in making money. We are in business to make money and as much of it as possible. And everybody starting with me needs to see how they do that. And that – well, so what I believe here in just anyway a short while, but I am proof testing a lot of things is that we can enhance our clarity about what the workforce does to support, whether it’s safety, integrity, reliability, or profitability. And I think we can eliminate work, I think we can do away with work that doesn’t add value, I think we can look at things like service levels, and service level support. But all with a keen eye on how it enhances bottom line business performance. So, if my words came across as carefully selected, they are not really intended. We are early in this, but I just see a lot of opportunity for organizational efficiency. And if that’s, focusing on higher value activities, so be it. If that’s eliminating low value added work, awesome. It’s combinations of all of that. And I do think above the field in an organization, you can create an energy, a motivation through clarity and focus, that people can move mountains. I think fundamentally, if you look at our business, our business has a kind of involves moving mountains, in many cases. And I think this organization is ready for that. I think they are asking for it. And that’s exactly what I intend to provide.
Menno Hulshof: Okay. Thanks for that Rich. And then having seen all of the inner workings at Exxon and Imperial for decades, are there any best practices that have been shortlisted for rollout at Suncor over the near to mid-term? And I guess as a follow-up to that, do you think there are ways that Suncor and Imperial could work together even more effectively?
Rich Kruger: Yes. I mean I am a big believer in benchmarking and best practices. How do you know if you are the best unless you have got some kind of a scorecard to it. And so what I think of best practice is, whether it’s safety systems, integrity systems, there is kind of three categories I think about. First, the system design itself, is it a quality system. And in my short time here, I think we have quality systems. Our safety systems, our operational excellence systems, I think are quality. Now, can they be improved, can they be made better to implement, absolutely. Are they as simple as they can be to apply in the field, those are questions. But we have sound systems. So, then you get into the application of a system, that’s where in a short time, but I have seen variability in how well we have applied systems at different sites. And my vision there would be we reduce variability to the highest standard of performance. And once you have a quality system, once you have applied that system, then it comes into the effectiveness is, are your systems delivering the intended result. And that’s where you put that, that return feedback loop in place to enhance the system, strengthen the leadership that goes with the applicability to produce better results. So, on the application of what I think are our quality systems, we have work to do to reduce variability. And then along with that is measuring the execution quality, the effectiveness of our application. Those are the two areas where I plan to focus on, early on, and other best practices, I think in – on the big one for learning. You look over the lease volume to learn. And for collaboration, whether that’s in operation refineries, whether that’s in operation of mines, I believe that for the oil sands. Well, for Suncor to be a winner in the oil sands, the oil sands also has to win and compete on the world stage. The consumer, when they put a nozzle in a car or a truck or the side of an airplane, quite frankly, they don’t really think about where that low gas diesel or jet comes from. They come from an oil sand, West Texas Intermediate. So, we have to be globally competitive in the oil sands. And then our goal is to be the best of the best in the oil sands. So, to be globally competitive, that comes with collaboration. And I think pathway is a great example of that. But I think there is other more fundamental examples of how do we run and operate mines. How do we maintain dikes and dams and tailings. How do we treat, how do we collaborate with the Federal and Provincial governments on sound public policies that achieve the objectives, but also ensure or maintain the competitiveness of what is a critical industry for not only Alberta, but Canada overall. So, yes, that’s a long answer. You got me going there met a lot on a topic I am passionate about. But I think collaboration and application of standards and best practices is very much a part of a winning formula.
Menno Hulshof: Appreciate the thoughts, Rich. I will turn it back.
Operator: And one moment for our next question. And that will come from the line of Harry Mattia with Barclays. Your line is open.
Unidentified Analyst: Thank you. Good morning. The first one, I see Slide 4 about the capital allocation. And it looks mostly similar what the company had it previously. But at the same time, Suncor is coming out of the gates with a debt funded acquisition and going above the $12 billion to $15 billion net debt range, at least for a period of time. So, Rich, for the credit investor community, I would like to get your perspective on the balance sheet, how you think about optimal leverage for Suncor and perhaps where in the investment grade category you think the right place is for Suncor’s ratings to be?
Rich Kruger: Yes. I think some of the specificity of what you have asked for, maybe it’s beyond what I can comment on today. But just it fundamentally, I think I believe in a strong balance sheet. We have produced a basket of commodities, prices go up and down, and how you have the resiliency to get through the inevitable cycles is by having a strong balance sheet. And when I look at covering, what my priorities are, the care and feeding of the existing asset base and sustaining expenditures are, you need to do those in the short-term and in the long-term. And as I have commented, reliable and growing dividend, dividend is very, very important to me. So, I wanted to ensure that we have a cost structure, which includes level of debt and financing costs on debt, so that we can withstand those ups and downs, and financially, it would deliver maybe you dial back on high quality investments at periods of low prices. Maybe you use the flywheel of returning surplus cash to shareholders is modified, but that you don’t put at risk, taking care of what you already have. And you can still continue with a reliable and growing dividend in periods of up and down. Maintaining a strong credit rating is key, obviously for the cost. And I think coming out of Daisy is a bit of a reflection on confidence that having the corporation. And I think that’s all importance of maintaining our ability to borrow when we can and should leverage for opportunities. Keeping a strong credit rating, our credibility in the marketplace, and then getting our cost structure where we can withstand the inevitable ups and downs you see in our business, it’s the business we have chosen. And I am not – Harry, I am not sure if I was specific enough for you. Alister, if you have anything else to add or bolster that or refute it?
Alister Cowan: No, I feel that you have summarized it very well. And I would just emphasize the work, the rating agencies went through total acquisition and no changes to our rating. So, I think that demonstrates their commitment to the strong balance sheet and getting the debt back down in a relatively short order.
Rich Kruger: Yes, exactly.
Unidentified Analyst: Okay. Thanks for that. And then a follow-up, I am not sure for Alister or Kris. But given the plan, debt financing, even though it is in the slides, I mean Suncor has a pretty clean maturity slate in the next couple of years. So yes, how are you thinking about staggering that financing? Are you comfortable issuing some longer term debt, or are you thinking more like issuing shorter debted notes or bank debt to provide a bit of a glide path to gross debt reduction in the next couple of years?
Alister Cowan: Yes. As you noted, Harry, our maturities have been in the short-term. We think to taking most of those with the debt buyback last year. We will focus more on the shorter end. Obviously, we think we can accelerate the debt repayments that we will be focusing on our ability to be able to repay debt as quickly as we can. We will only see some longer term stuff as part of the package, but the focus will be on lower end.
Unidentified Analyst: Okay. Thanks very much.
Rich Kruger: Thanks Harry.
Operator: And we do have time for one final question. And that will come from the line of Roger Read with Wells Fargo Securities. Your line is open.
Roger Read: Yes. Thanks for working me in here. Just what I would like to really kind of understand, Rich and Kris is, so much of the forward focus is going to be on reliability, safety and the general systems are in. How much visibility do you have today, or certainty do you have of what needs to be done in terms of making things work the way you want them to work and improving the overall performance. And what I am really just getting at is, you had the Investor Day at the end of last year. And then we have had obviously some pretty significant changes here at the top. And I just want to kind of understand, are we looking at something that should really be a very quick impact? Are we looking at things that – well, let’s think about a more is a ‘24, ‘25 kind of event? Anything you can do to help us with the timeline, I would appreciate it.
Rich Kruger: Yes. I think in terms of what needs to be done, a lot of it is not, and I don’t mean to oversimplify it. But it’s not rocket science, either. It gets back to and I am looking down the table at the Executive VPs and the Senior VPs responsible for our operations. It’s the kind of things we talked about. It’s applying, best practice, well, it’s executing our work exceedingly well, that is not necessarily complicated. It’s ensuring that people have the skills abilities, the time, the support to do what we know it takes to operate and maintain facilities. Yes, it is also getting smarter and looking for creative financial solutions. And whether that’s our truck fleet at Fort Hills, for example, or getting better at the turnaround expenditures. We spend, for example, nearly $1 billion a year on plant turnarounds across our massive asset base. Well, it seems like that should be something we become really, really good at, because you save money. And if you shorten timelines, through risk based work selection, you get online quicker and you start making money while you take facilities down. So, I think I would love to be able to say, how fast and what to expect. I am just – Roger, I am not there yet. But I think the what we need to do and what we need to focus on, and equally important, what we need to be sure we don’t focus on to allow the attention to where the biggest bang for the buck is. I think that’s getting clearer and clearer. I think the senior leadership team and I are rapidly getting aligned on that. And in terms of – we will be pursuing any and all improvement opportunities with a sense of urgency. I know I didn’t give you a timeline or numbers, but this is when you started saying, ‘24, ‘25, that a my timeline. There is no better time than the present. And so I think I would hope that we start seeing, hope is not a very good strategy, by the way. So, I would expect that we will start to see incremental improvements, with time and that time is not just a future, that’s sooner rather than later. I just signed you as a winter storm. I am looking at my team down there. And I just signed them up, I can tell there is a little tightness pour him down there at the end of the table, but they are all smiling, so that’s the good thing.
Roger Read: Yes. I appreciate that. Yes, just as a quick follow-up, it’s been kind of hammered already. But the role for that Conoco has, if they exercise added obviously alters the transaction, would we anticipate, then you would, obviously with a lot less debt, would be likely to move back to 75-25 payout more quickly. I mean that seems like a natural progression, if that happens, and I am just trying to kind of anticipate what the changes might be if that piece of the total transaction does not occur?
Rich Kruger: Well, again, what Conoco may or may not do, we will all learn that here in the relatively near future. But if I think about, if I step back from it more broadly, if we have go back to what I described on capital allocation, if we have surplus cash, we will look at what’s the best way to return that to the shareholder. And that will be combinations of continued to look at our dividends and/or share buybacks, and/or debt reduction. So undoubtedly, if we didn’t have this big acquisition, our debt would be back closer to where we have talked about targeting it. And but it would be that combination of events that we would just look at what we believe is the highest value of the shareholder. And I can assure you, Roger, everything we have done and we will continue to do will always have the shareholder at the front of the windshield, not looking at back, but looking forward, what’s in the best interest of the shareholders. That is our mantra.
Roger Read: Appreciate it. Thank you.
Rich Kruger: You are welcome.
Operator: Thank you. I would now like to turn the call back over to Mr. Troy Little for any closing remarks.
Troy Little: Thank you, operator. Thank you for joining us everyone. Please don’t hesitate to call us with any follow-up questions. Operator, you can now end the call.
Operator: Thank you all for participating. This concludes today’s program. You may now disconnect.